Operator: Good morning. And welcome to the Third Quarter 2017 Dover Earnings Conference Call. With us today are Bob Livingston, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and CFO; and Paul Goldberg, Vice President of Investor Relations. After the speakers’ opening remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder ladies and gentlemen, this conference call is being recorded and your participation implies consent to our recording of this call. If you do not agree with these terms, please disconnect at this time. Thank you. I would now like to turn the call over to Mr. Paul Goldberg. Mr. Goldberg, please go ahead sir.
Paul Goldberg: Thank you, Paula. Good morning. And welcome to Dover’s third quarter earnings call. With me today are Bob Livingston and Brad Cerepak. Today’s call will begin with some comments from Bob and Brad on Dover’s third quarter operating and financial performance, and follow with our outlook for the remainder of 2017. We will then open up the call for questions. As a courtesy, we kindly ask that you limit yourself to one question with a follow-up. Please note that our current earnings release, investor supplement and associated presentation can be found on our website, dovercorporation.com. This call will be available for playback through November 2nd and the audio portion of this call will be archived on our website for three months. The replay telephone number is 800-585-8367. When accessing the playback, you’ll need to supply the following access code, 95679213. Before we get started, I’d like to remind everyone that our comments today, which are intended to supplement your understanding of Dover, may contain certain forward-looking statements that are inherently subject to uncertainties. We caution everyone to be guided in their analysis of Dover by referring to our Forms 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statement. Also, we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your web -- your attention to our website where considerably more information can be found. And with that, I’d like to turn the call over to Bob.
Bob Livingston: Thanks Paul. Good morning, everyone. And thank you for joining us for this morning’s conference call. Our third quarter performance reflected continued strong global markets resulting in organic growth at each segment. In particular, we had strong organic growth across several platforms, including digital printing, waste handling, bearings and compression, and pumps. We also had solid performances in a number of other platforms including marking and coding, retail fueling and retail refrigeration. In all Dover’s organic growth was 9% in the quarter. In total, our revenue and margin expansion were largely in line with our expectations. In addition, our strong bookings growth sets us up for a solid finish to this year. I am pleased that we are firmly on track to deliver on the three-year plan we outlined in June, we expect solid organic growth and margin improvement this year, and we are positioned to deliver further growth and margin expansion in 2018. I’m also encouraged by our portfolio work to drive long-term success and value creation. We have continued to simplify our portfolio and invest in market-leading platforms that have strong market positions and margin profiles. In addition to the planned wellsite separation we recently signed an agreement to sell the consumer and industrial winch business of Warn for $250 million and expect this transaction to close in the fourth quarter. Regarding wellsite, we are continuing the process of evaluating our options for separation, the process is moving along well and before we expect to announce our plans by year end. Within wellsite markets have remained quite constructive and we are on track to hit our 2017 forecast of $1 billion in revenue and $250 million in EBITDA. We are committed to pursuing the transaction that is best for the business and also creates the greatest value for our shareholders. While our portfolio simplification activities advance, we have continued to build the pipeline with targets that enhance and expand our growth platforms. I am very pleased with our execution on the topline this year and I’m encouraged that we’ve made progress on margins. As we enter the fourth quarter and continue working on the wellsite separation, we are actively reviewing our cost structure to rightsize our company and improve margins. This review was broad-based, excluding wellsite, with the goal of achieving $40 million of cost savings for 2018. The goal of all of these actions is a focused and consistent portfolio with a sustainable runway for revenue growth and margin improvement. With that, I’d like to turn it over to Brad.
Brad Cerepak: Thanks, Bob. Good morning, everyone. As Bob mentioned, we had a very solid third quarter. We achieved organic revenue growth in all segments and had organic bookings growth in three of our segments. Leverage on this organic growth combined with the benefits of integration led to solid year-over-year margin improvement. Overall, adjusted margin was 13% -- 15.3%. There were several highlights in the quarter, including broad-based revenue and bookings growth in Engineered Systems, strong revenue and bookings growth in Fluids, along with continued sequential margin improvement, continued organic growth and year-over-year margin improvement in Refrigeration & Food Equipment, and lastly, strong broad-based revenue and bookings growth in Energy. Also from a geographic perspective, U.S., Europe and China markets all grew organically year-over-year. Our full year EPS guidance remains unchanged. Importantly, this guidance does not include anticipated gain on the sale of Warn, fourth quarter costs associated with the wellsite separation or any incremental rightsizing costs. We record these items as the disposition is completed and as cost of the separation and rightsizing are incurred. Now let’s go through some details on the quarter, starting on slide three of the presentation deck. Today we reported third quarter revenue of $2 billion, an increase of 17%, organic growth of 9% was complemented by acquisition growth of 10%. Partially offsetting these results was a 3% impact from prior dispositions. Adjusted EPS increased 40% to a $1.16. This result excludes $0.02 of disposition and wellsite separation related costs in the quarter. Adjusted segment margin was 15.3%, 120 basis point improvement over last year, primarily driven by incremental margin on increased volume. Bookings increased 14% to $1.9 billion. This result was comprised of 7% organic growth and acquisition growth of 10%, partially offset by a 3% impact of prior dispositions and reflects strong growth in Engineered Systems, Fluids and Energy. Book-to-bill finished at 0.97. Overall, our backlog increased 18% to $1.3 billion. On an organic basis backlog increased 12%. Free cash flow was $214 million in the quarter, a sequential increase of $64 million. We expect very strong free cash flow generation in the fourth quarter consistent with our normal pattern. Now turning to slide four, organic growth was broad-based. Engineered Systems grew 7% driven by solid activity across both platforms. Fluids organic revenue increased 5% principally driven by solid retail fueling and strong industrial pump in pharma and hygienic markets. Refrigeration & Food Equipment increased 2% and Energy grew 31% organically. As seen on the chart, acquisition growth was 30% in Fluids and 8% in Engineered Systems. Now turning to slide five. Engineered Systems revenue of $646 million was up 7% organically reflecting broad-based growth. Adjusted earnings increased 5% over the prior year as volume leverage was partially offset by the impact of investments and material cost inflation. Our printing and identification platform revenue increased 4% organically, driven by continued strong growth in digital printing and solid activity in our marking and coding markets. In the industrial platform, revenue increased 18%, including acquisition growth of 14% and 9% organic growth. The organic growth was broad-based with strong performance in waste handling. Margin was slightly below our expectations, reflecting the timing of investments and modest material cost inflation. Bookings increased 10% overall, including organic bookings growth of 3%. Organic growth reflects solid activity across the segment. Book-to-bill for each of the platforms and overall for the segment was 0.98. Now on slide six. Fluids revenue increased 36% to $563 million, reflecting acquisition growth of 30% and 5% organic growth. Organic revenue growth was primarily driven by strong industrial pump and hygienic and pharma markets, as well as solid retail fueling activity. Earnings increased 32%, largely driven by volume growth, including acquisitions and productivity gains. Our retail fueling integration continues to be on track, supporting a strong sequential margin improvement. In all, margin was 15.5%, up 220 basis points sequentially. Bookings grew 39%, driven by acquisitions and 10% organic growth. Organic bookings growth was broad-based. Book-to-bill was 1.02. Now on slide seven. Refrigeration & Food Equipments revenue of $439 million included organic growth of 2%. Organic -- the organic increase was largely driven by solid activity in Refrigeration. Food Equipment results reflect a continued softness in our commercial cooking equipment markets. Earnings increased 2% from the prior year or 7% when excluding the impact from a prior disposition. Margin expanded 70 basis points year-over-year reflecting volume leverage offset in part by business mix. Bookings decreased 11% organically, reflecting a general slowdown in our retail refrigeration markets and the timing of orders in can-shaping machinery. But you know our can-shaping business is expected to have a very strong fourth quarter as we ship against orders booked earlier in the year. Book-to-bill was 0.82. Moving to slide eight. Energy revenue increased 32% to $359 million, reflecting growth in the U.S. rig count and increased well completion activity. Earnings were $52 million and segment margin was 14.5%, both significantly improved over last year. These results were largely driven by year-over-year improvements in the U.S. rig count, increased well completion activity and continued strong results in bearings and compression, which grew 9%. As Bob mentioned, our wellsite business had a strong quarter with 39% revenue growth and we are on track to achieve the full year forecast. We expect fourth quarter segment revenue to reflect modest sequential growth. Bookings were up 36% year-over-year and 4% sequentially. Book-to-bill finished at 1.04. Going to the overview on slide nine. Our third quarter corporate expense included $2 million of wellsite-related separation costs. Interest expense was in line with expectations. Our third quarter tax rate was 24.6%. This rate reflects increases due to changes in geographic mix of earnings, which were more than offset by discrete tax benefits. The net result of these items was a $0.04 EPS benefit. Moving on to slide 10 which shows our 2017 guidance. We now expect total revenue to increase 14% to 15% versus our prior forecast of 12% to 14%. Within this forecast, organic revenue growth is 6% to 7%. The impact from completed acquisitions is unchanged at approximately 10%. The full year impact from FX is now expected to be neutral up 1 point from the last forecast. From a segment perspective, organic growth is largely unchanged from our prior guidance. Our full year forecast for corporate expense is $133 million and now includes $2 million of wellsite costs incurred in the third quarter, interest expense is unchanged and we expect the fourth quarter tax rate to be about 28%. Our forecast for CapEx remains unchanged and the full year free cash flow is expected to be 10% to 11% of revenue. In summary, our full year EPS guidance of $4.23 to $4.33 is unchanged. As previously mentioned, this guidance does not include the anticipated gain on the Warn disposition, which is estimated at approximately $230 million net of tax and is expected to close in the fourth quarter. It also does not include any fourth quarter costs related to wellsite separation. And lastly, it does not include any rightsizing costs currently estimated to be about $40 million to $45 million. At the midpoint, our EPS guidance represents an increase of 39% over 2016 on an adjusted basis. Please note that our guidance bridge can be found in the appendix of our presentation deck. With that, let me turn the call back over to Bob.
Bob Livingston: Thanks, Brad. Throughout the year all segments have grown nicely and we had gain share in several of the markets we served. Additionally, we have made progress on several of our initiatives to drive margin expansion. For instance, our retail fueling integration is on pace and sequential margin expansion in Fluids has been strong. Retail refrigeration margins have also grown on improved productivity. Looking forward, we have multiple opportunities to outgrow the broader market. Here are just a few. Our unique position in the fast-growing digital textile printing market is providing us a strong growth opportunity. We see the penetration rate of digital technology climbing to 30% over the next 10 years from the 3% to 4% rate of today. Our comprehensive solutions, including equipment, ink and software positions us very well to full leverage this technology shift. Within retail fueling we expect the EMV upgrade cycle in the U.S. to accelerate as our customers began preparing for compliance with payment regulations that go into effect in 2020. Along with that, our growing offering of remote monitoring and software-as-a-service provides ample opportunity for strong growth. In Refrigeration we expect food retailers to invest in closed-door refrigeration cases, energy efficient systems and in specialized display cases, as they look to manage operating cost and differentiate themselves in the market. In these product categories we have a leading position. Finally, within our industrial pumps business, the worldwide growth of plastic usage and our customers’ desire for improved efficiency plays to the strengths of this platform. We have the leading position in pelletizers and other polymer processing equipment due to our higher output, faster changeovers and more compact designs. These growth drivers coupled with our margin improvement initiatives provides a very positive framework for the next several years. And in closing, I’d like to thank our entire Dover team for remaining focused on our customers. And with that, Paul, let’s take some questions.
Paul Goldberg: Thanks. Before we take our first question, I just want to remind everybody, if you can limit yourself to one question with a follow-up, we will get more questions in. So, with that, let’s have the first question, Paula.
Operator: Okay. Your first question comes from Nigel Coe of Morgan Stanley.
Nigel Coe: Thanks. Good morning, guys.
Bob Livingston: Good morning, Nigel.
Nigel Coe: So just want to -- hi -- hi, guys. Just want to kick off with ES margins. They came in -- you mentioned, your margin came in more or less in line with your expectation. But just wondering about the impact, if you could maybe just define the impact of raw material inflation and on that topic, I know that the pricing ES improved from 0.3% to 0.5% from 2Q to 3Q. I am just wondering what actions you are taking on pricing to offset that raw mat inflation?
Bob Livingston: The material inflation, Nigel, in the third quarter for Engineered Systems was a little bit higher than we had expected coming into the quarter. You do appropriately note the price increases both second quarter and third quarter, and I would love to have seen more of a price increase in the third quarter and I know the guys are working on that here for the fourth quarter and going into 2018. But the -- I -- at the end of the day even though I say margins overall came in largely in line with our expectations. Margins at Engineered Systems to be frank were a bit disappoint and they should be better.
Nigel Coe: Okay. But it sounds like you’re trying to get pricing pushed through the channel.
Bob Livingston: Yes.
Nigel Coe: Okay. And then you mentioned obviously in the PR that the process for wellsite is on track. Are you -- given the cost you incurred during the quarter, are you pursuing essentially a dual track process where you are preparing for spin but open to other options, so that if you do decide to spin in December that the process could be relatively quick from there on?
Bob Livingston: We are managing a dual track process. We have been -- we’ve got a rather robust work extreme internally, as well as with our outside advisors to prepare us for a spin process and if we get to year end and declare that our separation process will be a spin, we would expect the spin to be completed before the end of the second quarter.
Nigel Coe: Okay, Bob. That’s great. Thanks. I will leave you there.
Operator: Your next question comes from Steve Tusa of J.P. Morgan.
Steve Tusa: Hi, guys. Good morning.
Bob Livingston: Good morning, Steve.
Brad Cerepak: Good morning, Steve.
Steve Tusa: Can you just talk about -- I heard you say some about $40 million and I believe it was cost savings for next year, but obviously, there is some stranded stuff if you spin or sell. You mentioned that you are going to spend some money here in the fourth quarter, that’s not yet in guidance. Can you maybe just kind of tie those things together and just reminds us what’s new and what’s not in the bridge?
Bob Livingston: Okay. Well, I’ll let Brad deal with the bridge. So the -- first off, I would -- let me respond to your comment about stranded cost. If we were to assume that the separation plan for wellsite is a spin. Steve, the cost connected with wellsite as it operates today within Dover and the segment cost are going to move almost 100% with the spin. So the stranded cost to me is actually a de minimis number. That said look at as we look at moving into 2018 absent wellsite, it is a smaller revenue base. On a pro forma basis we expect and will deliver improved margins in 2018 over 2017, and we are looking where -- as my prepared comment pointed out, it’s a very broad-based review of all areas of Dover excluding wellsite and we have -- today we believe we’ve got rough line of sight to about $40 million of savings that would show up in 2018 and I think Brad commented on the cost that we would incur to execute on capturing those savings and it’s about $40 million to 45 million. Here is the problem I have with the $40 million to 45 million and it’s one of timing. We still have some projects to approve here over the next two weeks to three weeks. We have internal communications to rollout. I’m not sure sitting here today that we will end up booking that entire $40 million to $45 million of cost into the fourth quarter, some of those cost may very well bleed into the first quarter. Do you want to…
Steve Tusa: Yeah. Got it.
Brad Cerepak: So…
Steve Tusa: Yeah.
Brad Cerepak: So, Steve, just to clarify the bridge, because it’s still a work in progress.
Steve Tusa: Yeah.
Brad Cerepak: I think we are confident on the $40 million of benefits. We are not as confident as the split on the cost side, but a loin share of it will be in the fourth quarter based upon what we know today and it is not in the bridge, so…
Steve Tusa: And that’s above and beyond, what you’re getting from the restruct -- base restructuring you are already doing.
Brad Cerepak: Absolutely.
Bob Livingston: Yes.
Brad Cerepak: So the base restructuring previously we’ve been talking about $18 million to $20 million. We are still -- that base restructuring still ongoing, which gives us over $40 million. That’s -- that generates benefits for us in the current year of about $47 million. There will be some carryover into ‘18 on that as well.
Steve Tusa: Okay. Just one quick question on the -- to follow up on Nigel’s question on the, I think, it’s Engineered business. Anything kind of the distribution channel and product ID that may be influencing margins there, I know your peer reported and margins there were not may be just little bit mixed. Anything going on in PID to kind of stands out from a margin perspective?
Brad Cerepak: No. The -- from a marking and coding perspective, we had a very good third quarter with marking and coding. We are continuing to make some investments within our digital print business and that’s for 2017. Help me with this number. I think it’s about $5 million or $6 million of incremental investment that will not continue and will not repeat in 2018. But with respect to marking and coding it was a pretty solid quarter and no…
Steve Tusa: Got it.
Bob Livingston: To answer your specific question, no issues with distribution.
Steve Tusa: Okay. One last quick one, sorry, Paul, I know you are going to call me for this. Bob, with all this movement around the portfolio, you obviously, had a nice run here, you’ve done a lot at the company and changed it quite a bit. Is there any kind of a step -- further step forward in kind of succession planning, I mean, clearly, the company has changed a lot, you have done a lot of heavy lifting and anything to discuss on the succession planning side?
Bob Livingston: The answer is no, other than I would repeat what I’ve said before with other questions on this topic. The Board and I run and have been running a rather robust process around succession planning. I think the Board feels quite comfortable with it. We are -- we do not anticipate a near-term change.
Steve Tusa: Okay. Great. Thanks a lot.
Bob Livingston: Okay.
Operator: Your next question comes from Scott Davis of Melius Research.
Scott Davis: Hi. Good morning, guys.
Bob Livingston: Good morning.
Brad Cerepak: Good morning, Scott.
Scott Davis: Hi.
Bob Livingston: And welcome back.
Brad Cerepak: Welcome back here again.
Scott Davis: Thank you. Sounds like Steve trying to get you to retire Bob.
Bob Livingston: Yeah. Might be. I think that as well, Scott.
Scott Davis: I am just joking. I just had -- I was curious your comment about dual tracking the Energy business is interesting, but is there a scenario where you could sell pieces of Energy and spin the rest. I mean there are some real gems in there?
Bob Livingston: That’s not.
Scott Davis: [Inaudible] (27:39).
Bob Livingston: I won’t say, no, to anything, but I don’t see that -- truly I don’t see that being one of the outcomes.
Scott Davis: Okay. And then on the Refrigeration business when you showed a couple book-to-bill 0.82, I mean, I think, most of us knew that market was getting a little bit softer. But is some of that reflected in the fact you guys have just been cutting your SKUs that kind of redefine your market a little bit? Is there any way to parse that out?
Bob Livingston: No. Not, look, we’ve actually been asking that question ourselves. I don’t think that’s having an impact with our customers or with the business. It’s been a very odd year, Scott, within this segment. We typically have, my goodness, for years have historically seen the second quarter and the third quarter being the high points for this segment with the two shoulder seasons, the first quarter and the fourth quarter being light. We saw the change starting to occur with this segment and the order rates in the fourth quarter of last year, we had very strong organic growth in the first two quarters of this year. And the questions on every call this year so far had been, well, why aren’t you raising your guide on the Refrigeration segment with respect to the topline. And part of our concern is that we knew we were a bit frontloaded in the first half of this year with respect to some customer activity, most notably around some of the cutover on the DOE regulations. We just did not know what we were going to see definitively in the second half. I fully expect 2018 to return this segment to a more seasonal and normal pattern that we’ve seen over the last several years.
Scott Davis: Okay. Fair enough. Good luck guys. Thank you. Best of luck.
Bob Livingston: Yes.
Operator: Your next question comes from Andrew Kaplowitz of Citi.
Andrew Kaplowitz: Good morning, guys.
Bob Livingston: Good morning, Andrew.
Andrew Kaplowitz: Bob, so during the quarter, actually you mentioned potential for $0.04 of hurricane impact. But it seems like your businesses were able to absorb the impacts pretty well. So could you see and did you end up seeing less impact than you thought and if there was any impact, what particular businesses absorbed the most impact?
Bob Livingston: Well, we -- goodness, it sounds like a huge number, Andrew, but with respect to Harvey in Texas, our energy businesses that have operations there in the Houston area, we actually lost 4,000 work hours due to the storm and due to the factories being shut down for five or six workdays. And at the middle of September we were looking at a better bit of a challenge in closing the quarter to hit the topline plan and believe that we would incur some missed earnings that could amount to $0.03 to $0.04 for the quarter. The guy -- the teams there did an outstanding job in recovery activity in the second half of September. But I would still tell you that the cost for the incremental overtime and extra work that was done to take care of the customers. I think we incurred probably $0.01 to $0.02 of cost that was related to the storm, it’s included in our EPS results for the third quarter and to a much lesser degree, much lesser degree, when the hurricane came up the East Coast, we had two, if not three of our larger operations on the East Coast that were shut down for one to three days, but the biggest impact was Harvey.
Andrew Kaplowitz: Bob, do you see any positive impacts from the hurricane in terms of replacement in any of your businesses, any step up as you’ve gone through October here?
Bob Livingston: We’re seeing a little bit of an increased activity in the Houston area with respect to glass doors to replace some of the damage doors. They are especially in the smaller footprint stores. And I think it’s possible though we haven’t booked a specific order yet. But it is possible that we see some order activity here in the fourth quarter as a result of storm. But if it happens it’s not in our guide and we haven’t seen the orders yet.
Andrew Kaplowitz: And can you give us a little more color on your fueling and transfer market, you mentioned last quarter that it was actually a rail business that was a big lead on the business this year, was that still the case in Q3 and do you see any stabilization there and do you think a moderation in EMV-related activity that you expected this quarter?
Brad Cerepak: Lot of questions.
Bob Livingston: Okay. So that -- that’s -- so let me be real specific here on transportation within our Fluids segment. That part of the business and Paul what is it, about $100 million in revenue.
Brad Cerepak: Yeah.
Bob Livingston: Roughly $100 million in revenue.
Paul Goldberg: Yeah.
Bob Livingston: I think it was down…
Paul Goldberg: 18%.
Bob Livingston: … almost 20% year-over-year in the third quarter. Our retail fueling business…
Brad Cerepak: Stable at that level. But it’s stable.
Bob Livingston: Yeah. Okay. Within our retail fueling business the organic growth for retail fueling was 4%, 3% to 4% in the third quarter. Activity -- whether it would be dispensers, hanging hardware or underground components, activity in Europe and China continues to be quite strong and solid. With respect to the U.S. market, dispenser activity in the U.S. was down in the third quarter as we expected. The only other color note I would share with you is that in the last two weeks of September and it is continuing here so far in October, the order rates -- the incoming order rates for dispensers is actually picked up comfortably, I mean, it’s a nice pickup. If that were -- if those order rates were to continue to hold or even expand as we go through the fourth quarter, I think this group has the opportunity to outperform on the revenue performance for the fourth quarter. EMV…
Andrew Kaplowitz: Thanks. I appreciate it.
Bob Livingston: EMV, I’ll give you comment on EMV. It was subdued in the third quarter again as we expected and spoke about in May and our June conference. We’ve been -- we’ve had engagement with three of our top brands, customer brands in this space in the -- just in the last few weeks with respect to discussions on their EMV rollout in 2018 and I think we will have a firming of opinion on what EMV activity will look like in 2018 in another two months to three months.
Andrew Kaplowitz: Appreciated Bob.
Bob Livingston: Thank you.
Operator: Your next question comes from Andrew Obin of Bank of America.
Andrew Obin: Hi. Good morning, Bob.
Bob Livingston: Good morning, Andrew.
Brad Cerepak: Good morning.
Andrew Obin: Good morning, guys. Just a question on Engineered Systems, so it does seem that margins have disappointed in the quarter, often when we have these situations it took several quarters for the ship sort of to right itself. How fast do you think Engineered Systems can get to sort of normalize operating leverage?
Bob Livingston: I think you will see an improvement in their margins here over the next two quarters.
Andrew Obin: Terrific. And is it more operational or is it more pricing?
Bob Livingston: It’s -- I would say, there would never be in an absence of operational opportunities. But I would tell you that the disappointment for the third quarter was around material inflation and pricing offsets.
Andrew Obin: Got you. And just a follow-up on free cash flow, your previous outlook was 140% conversion. You are now saying 130%, if we look at, sorry, cash flow statement. What’s driving this? Is it working capital, but you also have sort of other items chewing out cash and there is a tax item that’s chewing out cash. Can you give us more visibility as to why cash conversion is now little bit lower?
Bob Livingston: Brad, can walk you through some specific details, but I would -- number one, I would tell you that, working capital in the third quarter was actually 100 bps better than it was year-over-year. But it was still less than we were looking for and expected. It’s not inventory. We -- inventory came in as we expected, if not a tad better and it’s not a payable issue. We did see, I think -- you have to help me here, I think, sequentially from the second quarter to the third quarter, I think, we actually saw almost a full day increase in DSO. But part of this is the working cap -- the absolute dollar increase which comes back to cash, the absolute dollar increase in working capital just to support the strong organic growth that we’ve had in the last two quarters.
Brad Cerepak: Yes. So what, Bob, saying, is -- metrics are actually quite good in terms of working capital metrics. What we are seeing is the increase in accounts receivable specifically as we have the strong -- we’ve had a strong revenue growth. So we are expecting strong collections in the fourth quarter to support a strong fourth quarter free cash flow and put us in that range of 10% to 11%.
Andrew Obin: Terrific. Thanks a lot.
Operator: [Operator Instructions] Your next question comes from Deane Dray of RBC Capital Markets.
Bob Livingston: Good morning, Deane.
Deane Dray: Thank you. Thank you. Good morning, everyone.
Brad Cerepak: Good morning, Deane.
Deane Dray: Hey, can we just spend a moment talking about life after the wellsite separation?
Bob Livingston: Life after the wellsite, yes.
Deane Dray: Yes. Just how does your oil and gas exposure change and gets, I mean, most of its going to be in Fluid, bearings and compression likely into Engineered Solutions. But if you looked at it percent of revenues but also the upstream, midstream, downstream will change significantly like in more midstream, but can you take a pass at that, please?
Bob Livingston: Well, we have looked at this, we have the date on this and it’s been three weeks or four weeks since I look at it and I’m struggling with recall to give you specific numbers. Obviously, it is down, our wellsite exposure is down. But I would first call out the comment that I made earlier on transportation. We would label this $100 million business in transportation to be energy-related. It may not be all upstream, some of it is midstream, but I would truly label it as energy-related. And bearings and compression, it’s -- there is some upstream connection to bearings and compression. But it’s not the correlation or the size that we have in the wellsite businesses. And the bulk of it other than bearings and compression is connected into the Fluids segment.
Deane Dray: Got it. And then, as a follow-up on the material cost inflation in ES, just could you size that for us? And I’m surprised, if you -- if I had to guess where you would have seen some pressure, it might have been in Refrigeration with copper being up as much, but maybe you just size the impact there?
Bob Livingston: I will let Brad…
Brad Cerepak: Yeah.
Bob Livingston: …give you some numbers on this. But let me comment on your Refrigeration note. We actually started to see material inflation raise its head in Refrigeration in the first quarter and the second quarter. I don’t remember the numbers now. But I actually think our material inflation headwind in the first quarter just within Refrigeration, I think, it was $9 million. There were prices -- there were price increases put in as we exited the first quarter in Refrigeration. We didn’t have -- we didn’t cover it all in the second quarter, but the gap on material inflation significantly reduced in the second quarter. And I’m not viewing that given our early position on raising prices in Refrigeration to cover the material, I’m not looking at pricing -- price inflation to be a decremental for Refrigeration in the second half of the year.
Deane Dray: Got it. And Brad was going to size the…
Brad Cerepak: Yeah.
Bob Livingston: You want to size. Brad, go ahead.
Brad Cerepak: You want to size it. When you are coming out of the second quarter we said we would see about $34 million of net impact on materials for the year. That was our last guide. Now up to $38 million and I would say all of that for deltas in DES, because what Bob is referring to, fundamentally on DRFE we had a first half impact, as they were putting the prices in place and it neutralize itself for the back half. That’s still true today for the most part, very minor change. Our DE business is seeing some steel increases. They’ve also put in place some price increases here in October. So really is fundamentally move within DES and these guys -- our guys are working on this. They are working on price increases and more productivity. That is just going to take a period of time to offset.
Deane Dray: Got it. And just lastly, and this is not a question, but a comment. Off-road jeep enthusiasts like me are sorry to see the Warn business leave the portfolio today. Let that be noted?
Bob Livingston: Comment noted, Deane. Thank you.
Deane Dray: Thank you.
Operator: Your next question comes from Julian Mitchell of Credit Suisse.
Julian Mitchell: Hi. Good morning.
Bob Livingston: Good morning, Julian.
Julian Mitchell: Just a question firstly on the Warn business that you just touched on and I think when you bought that you paid about 2 times, 205 times sales, just wondered if you could give any color on the sale multiple and what kind of lost operating earnings we should dial-in for the next year?
Bob Livingston: So earnings, earnings for the business that was sold for next year -- Brad, I am going to see $0.10 -- it might…
Brad Cerepak: Well, that’s the impact.
Bob Livingston: That’s the impact.
Brad Cerepak: Lost earnings.
Bob Livingston: Lost earnings $0.10. Look, please note that, I was very specific here in my scripted comments. We did not sell the entire Warn business. We sold the winch business, both the consumer and the smaller industrial winch business, that’s part of -- that was part of Warn. What we kept was actually the OEM component business for the auto industry and the business activity that was sold from a revenue perspective, Brad, I think, was -- it would $130 million on that...
Brad Cerepak: Yeah. That was.
Bob Livingston: Yeah.
Brad Cerepak: Yes. Roughly that number.
Bob Livingston: Yes.
Julian Mitchell: Very helpful. Thank you. And then my second question just, you saw obviously the big drop in organic bookings in Refrigeration & Food Equipment in Q3. Maybe give a bit more detail around the retail refrigeration softness and whether the cost cutting that you’ve talked about the $40 million, is a lot of that waited into this segment, would you think that that retail softness or that broader booking softness in Refrigeration & Food will reverse soon?
Bob Livingston: Okay. So let me deal with cost savings initiatives, first. As I said, it is rather broad-based, but I do exclude wellsite from that comment and would not -- I would not hang more than its fair share -- pro rata fair share of activity on Refrigeration. There has been activity in the second half of last year and through the first three quarters of this year with a focus on productivity and cost takeouts. There will be some more within that segment during the fourth quarter and going into 2018. But, Julian, this is, when I say broad-based, I mean, across the segments and across corporate and across the regions, it’s going to be quite broad based. With respect to bookings, I’d also put you back to my earlier comment about how strange or an odd of year it’s been with respect to the, I call it the quarterly waterfall within this segment being quite different than what we have seen historically. That’s part of what showing up in the softer bookings here in the third quarter. But it was not all within the Refrigeration business. We also saw soft year-over-year bookings within our can-shaping business following a very, very strong order pattern we had in the second quarter. And we’ve got a fairly healthy, maybe even record revenue quarter scheduled for the can-shaping business and even some of the orders that have been booked in the last couple of quarters, we actually feel within the can-shaping business and that we’re well-positioned now for 2018.
Julian Mitchell: Great. Thank you.
Operator: Your next question comes from Mircea Dobre of Baird.
Mircea Dobre: Yes. Good morning.
Bob Livingston: Good morning.
Mircea Dobre: Just to follow-up on Julian’s question on Refrigeration here, if we are looking at comps, they are getting significantly tougher as we go into 2018 for Refrigeration and if bookings, as you say, remain relatively soft here, I recognize that there is a seasonal issue. But I’m wondering on tougher comps do you believe this business can actually grow next year and volumes aren’t picking up, how should we think about margins?
Bob Livingston: Number one, I would tell you that the segment leadership team, as well as the operating business leadership teams truly are convinced they can grow this business next year. If you look at it on a quarterly basis, again given the change in 2017 on how strong the first quarter was relative to historical comps as we move into 2018, it’s going to be impossible for just the Refrigeration platform to have positive organic growth in the first quarter as you copied against the first quarter of ‘17. But I -- we are convinced that we will return to a more seasonal pattern in 2018 and I think you’ll see the positive comps show up in the second half of the year.
Mircea Dobre: Bob, do you have the sense that there are enough levers in this business where if your expectation for bookings growth doesn’t materialized or things that you can do to address that from a margin standpoint?
Bob Livingston: Yes.
Mircea Dobre: Okay. And then my follow-up on P&I. So I know your comment is that there is quite good growth over there, but my sense again looking at comps here is that your business slowed even though your comp has gotten a lot easier organically sequentially. So I’m sort of trying to understand the dynamics here, are we talking about different growth in textile versus your marking and coding, is there some lumpiness that I am not getting anything now.
Bob Livingston: Yeah. Yeah. Well, there is a different growth profile between digital and marking and coding. I don’t know what that difference was in the third quarter, but the growth in digital textile was pretty healthy in the third quarter. With respect to MI, I am -- I don’t have that number in front of me, what 3% organic growth in the third quarter for marking and coding?
Mircea Dobre: Okay. I will follow-up with Paul offline.
Bob Livingston: Yeah.
Mircea Dobre: Thanks.
Operator: Your next question comes from Nathan Jones of Stifel.
Nathan Jones: God morning, everyone.
Bob Livingston: Good morning.
Brad Cerepak: Good morning.
Nathan Jones: I’d like to talk a little bit about the pumps business in Fluids. You’ve seen some pretty decent -- pretty good organic growth here in the last couple of quarters against what are fairly easy comps, the comps do get a bit more difficult here. Is the growth here just a result of the easy comps, have you seen that business fundamentally improve and what markets are driving it?
Bob Livingston: Okay. So, yeah, I don’t disagree with you. We look back on the comps. We -- the revenue for this business -- for the pumps group or platform in 2016 we were clearly still feeling the downdraft from the down cycle in the upstream oil and gas activity. We have seen with respect to upstream oil and gas, we have seen a nice recovery in those applications throughout the year. And by the time, I think, the fourth quarter, the comps probably aren’t as easy as they were in the first quarter and second quarter this year, but we are also still showing fairly strong organic growth for the pumps business in the fourth quarter. But the other -- I call it two areas of pumps outside of our distribution activity is our hygienic and pharma business continues to perform very, very well and strong growth rates, and those comps are not easy, because they have strong growth rates last year as well and the -- our plastic and polymer business within pumps bit more of a project business, so you get some noise when you look at quarter versus quarter and on a year-over-year basis, but we will have strong growth in the plastics and polymer business for 2017 and we will have quite solid growth in that business in 2018.
Nathan Jones: So it sounds like you -- you’re thinking this is more of a fundamental recovery in the business than it is just a matter of comps in there…
Bob Livingston: It did not…
Nathan Jones: … would that also grow in ‘18?
Bob Livingston: I am not denying that for the industrial applications related to oil and gas the comps are in our favor. But that’s not what is driving all of the recovery and growth in our pumps business.
Nathan Jones: Okay. That’s helpful. Thanks very much.
Operator: Your next question comes from Scott Graham of BMO Capital Markets.
Scott Graham: Hi. Good morning.
Bob Livingston: Good morning, Scott.
Brad Cerepak: Good morning.
Scott Graham: Just looking at the four -- at the full year organic sales guidance and trying to triangulate toward a fourth quarter number. Please correct me if I’m wrong on the math, but it looks like you’re essentially implying low to mid-single organic, and A, is that about, right, and B, is that wholly due to the Refridge down there?
Bob Livingston: So organic for the fourth quarter, I’m probably rounding to the nearest integer, but it 6%. Now the important question there, Scott, okay, is how much -- how much of the 6% is Dover remain co ex-wellsite. I don’t have that data. But it is positive. For your comment about Refrigeration, even with the difference in the customer buying activity within the Refrigeration platform in 2017, organic growth in the fourth quarter for Refrigeration is at 1% or 1% and a fraction even with our lower expectations.
Scott Graham: Okay. So that’s better than I sort of was calculating. Great.
Bob Livingston: Yeah.
Scott Graham: The other thing is that...
Brad Cerepak: Well, yeah, you should remember there’s some disposition impact in there…
Scott Graham: Yeah.
Brad Cerepak: … that you take into account.
Bob Livingston: Okay. Fine. Okay.
Scott Graham: Yeah. No. Got it.
Bob Livingston: Go ahead.
Scott Graham: The other thing is that should we see and maybe the better question is on the ES margin, could you and I know there’s a question around this earlier. Could you kind of give us sort of the buckets for you had an adjusted drop of 130 basis points. Could you kind of tell us, obviously materials is the biggest issue here, kind of give us the puts and takes, and maybe the sizings of kind of what happened there?
Bob Livingston: Yeah. Well, Brad, can probably provide more specific numbers then I can. But I would say that better than a third may be approaching 40% of the drop had to do with material inflation, another...
Brad Cerepak: Which we gave -- which we gave you the number.
Bob Livingston: Yeah. And another third of it and again it may have been slightly more than that -- another third of it was the increased investment that I spoke about with respect to our digital print activity. And then a little bit of noise just around product mix. But that always happens, a little bit of noise around product mix. But that’s -- I would say, 30% to 40% of material inflation, 30% solid on increased investment in digital print and the rest of it was product mix. Brad, do you want to clarify that?
Brad Cerepak: No. I think that’s it.
Bob Livingston: Okay.
Scott Graham: Yeah. And if I could sneak in another one in here, just very simply, you made a comment, Bob that you’re confident that the refrigeration market will improve next year. Could you give us a little bit more behind that thinking?
Bob Livingston: Well -- I will start first with a roll up with discussions with customers and we do expect our activity to be up next year. I don’t have a final number. We are going through our planning process. We will actually kick that off in about 10 days to solidify our operating plans for 2018. But we know we have been awarded some business. We haven’t received the orders yet. I don’t know exactly what the order level will be in 2018, but it will be incremental. And on top of that even if the revenue line were to hold constant in ‘18 versus ‘17, we see a clear path and opportunity for improvement in margins.
Scott Graham: Thanks a lot.
Operator: Your final question comes from Charley Brady of SunTrust.
Patrick Wu: Hi, guys. This is actually Patrick Wu standing in for Charley. Thanks for taking my questions.
Bob Livingston: Okay. Hi, Patrick. Good morning.
Brad Cerepak: Good morning.
Patrick Wu: Good morning. Good morning. Just -- it sounds like even though you guys are going to the up for your rationalization process, M&A is -- the pipeline is still pretty robust, you guys sound pretty optimistic about that. Can you talk a little bit more about which areas you are looking at and sort of how valuation are right now and are there any areas specifically where you guys would have a big appetite in terms of -- if the valuation is on the high side still?
Bob Livingston: We still are interested in expanding in a general way across different verticals, our pumps play within Fluids and we’re always looking for opportunities. We’ve seen some to expand both in our marking and coding, as well as in our digital print area. But the act -- the areas we’re looking at wouldn’t be any different than we’ve been focused -- than we’ve been sharing even at the June Investor Conference, so there wouldn’t be any difference there. Your question about valuation, it’s interesting, because the -- we have walked away, well, we have been unsuccessful on a couple of recent opportunities to meet the sellers expectation on valuation and we just felt it was a little bit into the discomfort range for us and we just went pencils down and withdrew and we will wait for the next opportunities…
Brad Cerepak: Bolt-on, add-on.
Bob Livingston: Bolt-on, nothing large, nothing significant…
Brad Cerepak: Nothing that we walked away from that was directly change…
Bob Livingston: Yeah.
Brad Cerepak: … think about the platforms.
Patrick Wu: Okay. Got it. And then just one more on Refrigeration & Food Equipment, you guys answer the lot of quest -- lot of those questions already, but if we ex-out the sort of around $6 million in inefficiencies from Hillphoenix the last year, if you look at that number year-over-year is, I think, down by like around 50 bps or so. How much of the Hillphoenix -- how much of the drag is still -- Hillphoenix still inherent in that business, is that pretty much all gone now? And then also Wal-Mart has recently sort of talked about online grocery pickups and stuff like that, I think, they open to a tune of around 400 locations this year. Has that been any -- has that incrementally benefited you guys at all.
Bob Livingston: So, let me deal with your Wal-Mart question or comment first. I would say that that activity on their pickup rollout has been minimal -- a minimal impact to our business. I’m -- I know that we’ve had an order here and order there, but it hasn’t been notable with respect to creating any change. The -- within the Refrigeration segment, the opportunity -- the greatest opportunity for margin improvement for the segment resides in Hillphoenix and Anthony, primarily Hillphoenix.
Patrick Wu: Okay. That’s it for me. Thank you.
Bob Livingston: Thanks, Pat.
Operator: Thank you. That concludes our question-and-answer period. I would now like to turn the call back over to Mr. Goldberg for closing remarks.
Paul Goldberg: Thanks, Paula. This concludes our conference call. With that we thank you for your continued interest in Dover and we look forward to speaking to you again next quarter. Have a good day.
Operator: Thank you. That concludes today’s third quarter 2017 Dover earnings conference call. You may now disconnect your lines at this time and have a wonderful day.